Angélica Garnica: [Audio Gap] consolidated sales of Grupo Carso totaled MXN 45.5 billion, decreasing 5.8% in the quarter. Grupo Sanborns and Grupo Condumex increased its revenues by 1.9% and 1.2%, respectively, related to summer promotional activities and higher volumes of industrial products. Zamajal hydrocarbons operation, which started consolidating in the second quarter of last year and is in developing process contributed with additional MXN 546 million, growing 27%. On the other hand, Elementia/Fortaleza, Carso Energy and Carso Infraestructura y Construcción decreased its sales 1.1%, 3.2% and 34.2%, respectively. This last division due to the conclusion of major infrastructure projects. Consolidated operating income totaled MXN 3.1 billion versus MXN 5.3 billion in the third quarter 2024. This 39.7% fall reflected lower exchange rate, higher salaries, wages and inflation in general. Grupo Sanborns additionally is implementing a new IT platform and Zamajal started depreciating major investments. Consolidated EBITDA for Grupo Carso from July to September 2025 decreased 20.4%, reaching MXN 5.6 billion compared to MXN 7 billion a year ago. The EBITDA margin decreased from 14.6% to 12.3%. Consolidated controlling net income decreased 78.4%, totaling MXN 651 million, lower than MXN 3 billion last year, reflecting lower operating results and a foreign exchange loss compared to a foreign exchange gain last year. Regarding the performance by division, Grupo Sanborns recorded higher sales with a 1.9% increase related to promotions carried out in the month of August and September. Operating income totaled MXN 443 million compared to MXN 535 million a year ago. This reduction in profitability was explained by an increase of 8.3% in expenses related to higher wages and salaries and the investment in different IT platforms to improve customer experience. EBITDA went down 6.8% with an EBITDA margin of 6.2%, while net income dropped 9.3%. In the Industrial Division, Grupo Condumex sales increased 2.2%, reaching MXN 13.2 billion versus MXN 13 billion in the same quarter of last year. This improvement was obtained by higher volumes of fiber optic cables for the CFE and automotive cables. Regarding operating income and EBITDA, these items reached MXN 967 million and MXN 1.2 billion, respectively, recording lower profitability compared to MXN 1.4 billion and MXN 1.6 billion a year ago. Carso Infraestructura y Construcción's sales totaled MXN 7 billion with the best performance coming from pipelines, where the construction of the Centauro del Norte gas pipeline started in the north of the country. Manufacturing and services for the oil and chemical industry had lower drilling activity and infrastructure concluded large projects. It is important to mention that currently new replacement projects are being recorded in the backlog due to recent bids, one such as the contract for the construction of the passenger train in Saltillo and new finance drilling services for oil wells. The operating income and EBITDA in Carso Infraestructura went down 95.5% and 78.9%, respectively. The controlling net result was a loss of MXN 629 million compared to a net income of MXN 649 million a year ago. The projects currently in place are the construction of shopping centers such as Pavilion Polanco, Star Medica Hospital, Plaza Carso 3-apartment building, telecom installation services and the construction of the Centauro del Norte gas pipeline. The backlog totaled MXN 70.4 billion compared to MXN 21.6 billion a year ago growing 267.9% since new projects were allocated such as the construction and design of 111 kilometers of the Saltillo-Nuevo Laredo passenger train segments for 13 and 14, Saltillo to Santa Catarina and the onshore and offshore drilling services of up to 32 wells for Pemex. The sales of Elementia/Fortaleza decreased 1.1% from MXN 7.7 billion in the third quarter 2024 to MXN 7.6 billion in the third quarter 2025. This was related to the exchange rate with a relevant part of revenues generated outside of Mexico, either from exports or from companies abroad. On the other hand, cement was affected by adverse weather conditions with heavy rains and hurricanes in some regions, which affected construction and cement demand. Therefore, operating income decreased from MXN 1.3 billion to MXN 1 billion and EBITDA decreased 14.9% due to the same reasons. Carso Energy's performance in the third quarter reduced 3.4% with total sales of MXN 867 million. This was attributable mainly to the exchange rate. The operating income and EBITDA of Carso Energy were MXN 659 million and MXN 773 million, decreasing 5.5% and 3.3%, respectively. The net result totaled MXN 371 million with a 10.8% reduction. Lastly, beginning in the second quarter, the oil operations to explore and exploit the Ichalkil and Pokoch fields on the Campeche Coast are being recorded and consolidated within the Carso numbers, where additional MXN 546 million were recorded in revenues at the Zamajal division. The operating result was a loss of MXN 439 million, while EBITDA totaled MXN 59 million. Zamajal continues its activities in the Ichalkil and Pokoch shallow water fields, increasing production and reducing operating costs and expenses. However, there were impacts of around MXN 250 million recorded in depreciation this quarter coming from significant capitalizations. With this, I finish my general comments to proceed to the Q&A session. We will make [Foreign Language] in Espaneol. But I want to remind you that the financial media can stay, but cannot make questions. The questions for the media will be addressed by Renato Flores Cartas from AMX, which help us with the media inquiries.
Angélica Garnica: [Foreign Language]
Unknown Analyst: [Foreign Language]
Unknown Executive: [Foreign Language]
Unknown Analyst: [Foreign Language]
Unknown Executive: [Foreign Language]
Angélica Garnica: [Foreign Language]
Unknown Analyst: [Foreign Language]
Unknown Executive: [Foreign Language]
Unknown Analyst: [Foreign Language]
Unknown Executive: [Foreign Language]
Angélica Garnica: [Foreign Language]
Unknown Executive: [Foreign Language]
Unknown Analyst: [Foreign Language]
Angélica Garnica: [Foreign Language]
Unknown Analyst: [Foreign Language]
Angélica Garnica: [Foreign Language]
Unknown Analyst: [Foreign Language]
Angélica Garnica: [Foreign Language]
Unknown Executive: [Foreign Language]
Angélica Garnica: [Foreign Language]